Operator: Good morning ladies and gentlemen. Welcome to the Chartwell Retirement Residences Q2 2025 Financial Results Conference Call. I would now like to turn the meeting over to CEO, Vlad Volodarski. Please go ahead.
Vlad Volodarski: Thank you, Luis. Good morning, and thank you for joining us today. There is a slide presentation to accompany this conference call available on our website at chartwell.com under the Investor Relations tab. Joining me are Karen Sullivan, President and Chief Operating Officer; Jeffrey Brown, Chief Financial Officer; and Jonathan Boulakia, Chief Investment Officer and Chief Legal Officer. Before I begin, I direct you to the cautionary statements on Slide 2 because during this call, we will make statements containing forward-looking information and non-GAAP and other financial measures. Our MD&A and other securities filings contain information about the assumptions, risks and uncertainties inherent in such forward-looking statements and details of such non-GAAP and other financial measures. More specifically, I direct you to the disclosures in our Q2 2025 MD&A under the headings Risks and Uncertainties and forward-looking information for a discussion of risks and uncertainties. These documents can be found on our website or on the SEDAR+ website. Turning to Slide 3. Q2 2025 marked the eighth successive quarter of double-digit growth in our same property adjusted NOI and our FFO per unit. This performance reflects the outstanding efforts of our teams who remain focused on delivering exceptional resident experiences, growing occupancy and enhancing operational efficiencies. We now forecast reaching 93.5% occupancy by September. And as we enter our historically robust fall leasing season, we believe we are on track to achieve our target of 95% occupancy by the end of 2025. Our sector benefits from a positive operating environment driven by demand for our services from the robust growth in the seniors population and a multiyear slowdown in new construction. Thanks to the dedication, innovation and empowerment of our people across the country, Chartwell is well positioned to continue to deliver strong sustainable results for all its stakeholders. My partners will provide you with more color on various aspects of our business. Karen will do an operating update. Jeff will dive deeper into our Q2 financial results, and Jonathan will discuss our portfolio optimization and growth activities. We'll start with Karen. Karen, over to you.
Karen Sullivan: Thanks, Pat. Moving on to Slide 4. Our leasing activity continued to be strong in Q2 with occupancy growing in all 4 provinces. We held our third Open House event in June, which resulted in a 15% more personalized tours when compared to the June 2024 Open House event. We refined our property marketing approach by launching localized campaigns with a tailored media mix that included direct mail, radio, print and e-mail to highlight each property's unique selling features and included customized sales calls to action based on local market conditions. These strategies resulted in a 15% increase in personalized tours for marketing sources compared to Q1. We also introduced targeted e-mail campaigns to existing contacts in our database to nurture leads and support sales conversions. Our marketing prospect pool has grown to over 160,000 people. As part of our enhanced approach to business development, we participated in a number of events with real estate, finance, health care and HR professionals, including the Canadian Institute for Financial Professionals Conference, the Canadian Real Estate Association conference and the Charter Professionals of Human Resources Conference, where we connected with 50 businesses interested in information about Chartwell for their employees, many of whom are the adult children of our future prospects. In June and July, every Chartwell property held residents pricing meetings to discuss potential in year changes to rates and incentives in light of their occupancy and local market conditions. They also fully reviewed market rates by suite type and suite location for 2026 in preparation for our budget process, which gets underway in Q3. In Q2, we launched a PowerBI dashboard for our general managers, which allows them to easily access information in all 6 major areas of the business: sales, occupancy, revenue optimization, financial results, workforce activity and people KPIs. This new tool not only organizes this important data in one place, but will also assist management teams in driving their results. Turning to Slide 5. We reduced our staffing agency cost by 50% in Q2 2025 compared to Q2 2004 through our continued focus on recruitment and retention activities. In Q2, we also kicked off our project to implement Oracle Workforce time and labor, which will automate the entire process from time entry to payroll. We are also implementing Oracle Workforce scheduling, which will automate schedule generation and allow us to easily adapt to changes and to fill shifts. The outcome of this automation is to lower the risk of incorrect payments, reduce time spent by our payroll team and the office managers in our homes and improve accuracy and agility in managing our largest cost center. The operations team hosted a number of continuing education and strategic planning sessions in Q2, including sales training for our retirement living consultants and communities of practice for each discipline within our management team. We use these sessions to roll out new programs, share best practices and enhance the skill set of our valuable management team members. Finally, I wanted to share another example of our ongoing efforts to develop individual property-specific strategies to better meet the needs in our local communities. At our recently acquired property on Vancouver Island, Chartwell Victoria Harbour, the team has increased occupancy by 11 percentage points from 29% to 40%. This was accomplished not only by enhancing marketing efforts, which have increased online visibility and inquiry volume, but also by making changes to service offerings to appeal to a broader range of residents. These results are significant considering the home had not surpassed 29% since its opening in 2021. I'll now turn it over to Jeff to take you through our financial results.
Jeffrey Samuel Brown: Great. Thank you, Karen. As shown on Slide 6, in Q2 2025, net loss was $5.7 million compared to net loss of $2.8 million in Q2 2024. FFO grew to $67.6 million in Q2 2025, an increase of 51.1% compared to Q2 2024. Our reported FFO does not include $1.9 million or $0.06 per unit of income guarantees related to recently acquired properties. Q2 2025 FFO growth benefited from higher adjusted NOI of $31.4 million and higher adjusted interest income of $0.5 million, partially offset by higher adjusted finance costs of $5.7 million, lower management fees of $2.2 million and higher G&A expenses of $1.2 million. In Q2 2025, our same-property occupancy increased 490 basis points to 91.9%, and our same-property adjusted NOI increased $12.3 million or 20%. Slide 7 summarizes our same property operating results for each platform. All of our platforms posted occupancy gains in Q2 2025 compared to Q2 2024, which positively impacted our results. Our Western Canada platform same-property adjusted NOI increased $3.2 million or 15.9%. Our Ontario platform same-property adjusted NOI increased $7.3 million or 21.2% and our Quebec platform same-property adjusted NOI increased $1.8 million or 25.2%. Turning to Slide 8. At August 7, 2025, liquidity amounted to approximately $503 million, which included $108 million of cash and cash equivalents and $395 million of borrowing capacity on our credit facilities. During the quarter, we raised $137.2 million of equity through our ATM program, which helped support our transaction activity, and we continue to improve our leverage metrics with interest coverage ratio growing to 3.0x and our net debt to adjusted EBITDA ratio declining to 7.8x. For the remainder of 2025, our debt maturities include $182.6 million of mortgages with a weighted average interest rate of 3.19%. As of August 7, 2025, we estimate the 10-year CMHC insured mortgage rate to be approximately 4.17% in the 5-year unsecured debenture rate to be approximately 4.25%. I will now turn the call to Jonathan to discuss our recent acquisitions and portfolio optimization activities.
Jonathan M. Boulakia: Thank you, Jeff. Turning to Slide 9. We continue to execute on our portfolio strategy of enhancing our asset base to generate increased quality NOI. This quarter, we acquired an additional 5% ownership interest in the Sumach by Chartwell residence home in Toronto for a purchase price of $6.7 million. We now have a 50% ownership in the property with Welltower owning the other 50%. We acquired a 50% ownership interest in a 247 suite planned addition to the existing Chartwell Le Prescott residence Chartwell Le Prescott 2, to be comprised of 223 independent living suites and 24 assisted living suites for a purchase price of $7.8 million. Construction has commenced, and we expect to open the property in Q4 2026. Total development costs are expected to be approximately $94.2 million. We also acquired a 50% ownership interest in the development of a 187 suite seniors apartment building adjacent to Chartwell Le Prescott tailored to active independent 55-plus adults for a purchase price of $6.3 million. Total development costs are expected to be approximately $75.7 million. Last month, we entered into a definitive agreement to acquire a 100% ownership interest in Les Tours Angrignon comprised of 449 suites in Montreal, Quebec for $88.5 million. The 3 tower complex offers a mix of independent and assisted living accommodations. We expect to close this acquisition on October 1. And finally, 2 weeks ago, we entered into a definitive agreement to acquire a portfolio of 6 senior housing communities comprising 1,024 suites located in London, Waterloo and Mississauga, Ontario, for a total purchase price of $432 million, including a forward purchase agreement to acquire on completion, 29 yet to be constructed townhomes at one of the communities expected in Q4 2026. The transaction is expected to close in Q4 2025. This acquisition strengthens our position in the strong market of Southwestern Ontario. Year-to-date, we have completed over $700 million of acquisitions with further committed investments of $600 million for completion in 2025 on the heels of approximately $1 billion of acquisitions in 2024. We're also actively engaged in discussions with local and national developers across the country to restart our development program and create a meaningful pipeline of state-of-the-art assets to bring in our portfolio. We will pursue such developments in a prudent manner with a preference for off-balance sheet development similar to our arrangement in Quebec. Finally, we continue to pursue a portfolio optimization strategy to high-grade our portfolio into newer, larger and operationally efficient seniors communities across Canada's top retirement markets to best position Chartwell for long-term sustainable NOI growth. As I have noted, we have invested significant financial and management capital pursuing acquisitions in line with this strategy and have initiated new development projects to support strong pipeline of future property growth. We have also identified properties within our portfolio that no longer fit this core strategic focus due to the location, size, age and/or service offering. These noncore properties represent approximately 3,500 suites and less than 10% of our NOI in the aggregate and are geographically diverse, primarily in Ontario and Quebec. We intend to pursue dispositions of some or all of these properties as market conditions allow with proceeds expected to be used to support future development and acquisitions activity that is in line with Chartwell's current strategy. I'll turn the call back to Vlad to wrap this up.
Vlad Volodarski: Thank you, Jonathan. Slide 10 highlights the strong fundamentals driving our industry. We believe that we are at the front end of what is going to be a multiyear period of growth in retirement living in Canada. Demand for our services should continue to grow for decades driven by the senior population growth and lack of long-term care accommodation. Forecasts show that to maintain supply- demand balance, the sector would need to build 200,000 suites in the next 10 years, which is almost 3x the number of suites built in the previous 10 years. With persistent high construction costs and aging inventory, supply shortages are likely to persist, supporting higher occupancies, rental and services rates and profitability of the existing operators as one of the largest participants in the senior living sector, Chartwell stands to benefit from them. Turning to Slide 11. This year marks the last year for our strategy period that started in 2018. Back then, we set ambitious goals for ourselves to grow our employee engagement score from 49% highly engaged to 55%, to grow resident satisfaction score from 58% very satisfied to 67% and to grow same-property portfolio occupancy from then 90.5% to 95%. The 2.5 years of hiatus caused by the COVID-19 pandemic made the achievement of these targets much harder. Pandemic-related restrictions and negative media had a negative impact on our residents. These -- there undoubtedly was post-pandemic exhaustion and fatigue of our employees, and our occupancies declined to below 77% in 2021. Yet our teams persevered. And while we cannot celebrate the success just yet, we feel we are firmly on our way to achieving these targets. In fact, we can report that one of the targets has been achieved. We just received the results of our 2025 employee engagement survey. And in our residences, 56% of employees reported their high level of engagement. This is 1 percentage point above our strategy target of 55% highly engaged employees. We now know that we can successfully execute multiple large-scale initiatives in parallel. The agility of our teams in implementing locally tailored strategies, deploying new technologies, and integrating acquisitions has been exceptional. These efforts have strengthened our operations and accelerated our growth. I want to sincerely thank everyone involved for their dedication and outstanding contributions. As we continue to grow and improve this great company of ours, all of us at Chartwell are optimistic about the future and united in our drive to continue delivering strong results for all our key stakeholders for many years to come. I will now close our prepared remarks with a story from one of our residents as is pictured on Slide 12. At Chartwell Crescent Gardens, Surrey BC, the dining experience is central to community life. So when one of the residents, Steven raised concerns about the food, food services manager, Hanosh Dubash, took the time to listen. What followed wasn't just a resolution, but a connection and also learned that Steven, who had grown up on the farm was genuinely curious about the inner workings of the kitchen. Instead of just offering an explanation and solution, Hanosh invited Steven on a behind-the-scenes tour. Starting in the basement, Steven explored the receiving docks, stepped into walk-in freezers and saw firsthand how meals are prepared at scale like whipping up 25 pounds of mashed potatoes at once. He asked about sourcing, storage and preparation and gained a whole new appreciation for the complexity and care behind each meal and for the people who prepared. Now one of the kitchen's biggest champions Steven's enthusiasm has inspired other residents to take their own tours, turning curiosity into connection and building greater respect for the staff who create the dining experience for Chartwell Crescent Gardens residents every day. Thank you for your attention this morning. We would now be pleased to answer your questions.
Operator: [Operator Instructions] Our first question is from Jonathan Kelcher from TD Cowen.
Jonathan Kelcher: First question, just on these new metrics that you put in the MD&A, which looks like they're going to be quite helpful. Just want to understand them a little bit. The NOI per occupied suite, is that just another -- is that basically excluding any impact of occupancy changes?
Jeffrey Samuel Brown: Yes. Yes, that's correct, Jonathan.
Jonathan Kelcher: Okay. So assuming I think it's fair to say that you're going to hit the 95% hopefully, by the end of this year, if not very early next year and get a little bit beyond that. So that's kind of a fair way to think about your same-property NOI growth going forward once you kind of hit your stabilized occupancy target?
Jeffrey Samuel Brown: Yes, I think it's a fair way to think about it. We are getting some leverage on the expense side as we're able to still -- so but I do think that's an appropriate way to look at it going forward as we get up to the stabilized occupancy level.
Jonathan Kelcher: Okay. That's helpful. And then just on the development side, and Jonathan had talked about this a little bit, and you guys are starting to do mostly, I guess, infills and expansions right now, but in your discussions, like how close are you to starting to see more greenfield development opportunities?
Jonathan M. Boulakia: Yes. So we are getting closer to that construction costs seem to have leveled out. And rates have increased over the past couple of years to make some developments pencil out. So like you noted, most developments to date that are working are adjacent to our existing properties and take advantage of synergies but we are looking at Batimo style arrangements or Quebec style arrangements to pursue off-balance sheet developments that would be the more greenfield type developments, both on sites that we control and other sites that local developers would contribute.
Vlad Volodarski: And in terms of math penciling out, Jonathan, it's still very location specific and majority of them do not pencil out. Some are getting closer.
Jonathan Kelcher: Okay. Are you starting to see other developers start developments?
Jonathan M. Boulakia: We're starting to see more groundwork being done to prepare for those developments as those conditions continue to improve and allow for those developments.
Jonathan Kelcher: Okay. So would you -- do you think it would be fair to say that 2025 will likely be the bottom or close to the bottom for new starts for seniors and then it starts to pick up next year.
Jonathan M. Boulakia: Yes, I think it's fair to say that we're going to see some pickup in 2026.
Operator: Our next question is from Himanshu Gupta from Scotiabank.
Himanshu Gupta: So first, on the recent Ontario acquisitions announced. So what is the occupancy on this? And how should we look at NOI upside in the near term on this portfolio?
Jonathan M. Boulakia: So occupancy on these properties, they are all stabilized with the exception of one that's in lease-up. And so we would expect growth in the portfolio as a whole, largely because of that lease-up property. But they are, by and large stabilized, the balance of them.
Himanshu Gupta: Okay. And Jonathan, what is the going in cap rate? Or where do you see the stabilized cap rate on this acquisition?
Jonathan M. Boulakia: We see in the low 6s.
Himanshu Gupta: That's stabilized, you're saying?
Jonathan M. Boulakia: Yes.
Himanshu Gupta: Okay. Fair enough. Turning attention to occupancy in that 95% target for same property looks very achievable here. What could be the stabilized occupancy on growth portfolio? Like should it be even higher than your same property portfolio given that it's newer properties.
Vlad Volodarski: Yes, potentially. I mean, we -- at this point, we view 95% as kind of stabilized occupancy. That's not to say that there is no possibility for it to go higher, both for the same property portfolio basis and certainly for the growth portfolio. You're correct pointing out that in our growth portfolio, Jonathan and his team are so successful sourcing high-quality newer assets in great locations that we expect to achieve higher occupancy rates and certainly higher rental rate growth over time in that portfolio than in our same-property portfolio.
Himanshu Gupta: Okay. And then on the same vein, growth portfolio margins is like already low 40 here at like 90% occupancy. So again, like stabilized margins on the growth could be like mid-40s or even higher?
Vlad Volodarski: Yes. For sure. Again, these are, by and large, larger properties that are more efficient in terms of their operations. So the margin should be higher. And again, as we grow rates at a pace that hopefully is a little higher than the same property portfolio, the growth in the margin should grow correspondingly there.
Himanshu Gupta: Okay. And maybe, I mean, given the margin expansion this quarter or last quarter as well, I mean just looking at the same property expenses, like which expense item do you think is most variable to occupancy here? And which items are like mostly fixed in nature once you reach like low 90% occupancy. I mean I look at Q2, like same-property expenses grew only like, I think, 2% to 3% despite like a sizable occupancy uptake and others.
Vlad Volodarski: I think we would -- in our at least our budgets, we would assume kind of 3 to 4 normalized percent of expense growth. Generally, what you would see as the occupancy gets to 90%, most of the incremental revenue is bottom line because there is really no incremental additional expenses on staffing, most of the hours already baked in. Maybe there's a few hours here and there. And labor, as you know, our largest cost category and in terms of other costs there's -- a lot of them are fixed at that point in time or already incurred. So from that perspective, once properties get to over 90% occupancy, there is a significant improvement to the NOI.
Jeffrey Samuel Brown: And Himanshu, we are seeing still some benefit this year in agency reduction spend, which is helping offset some of the labor increases. So that should -- by next year, we think that we'll be in a steady state, and we'll see the benefit of further reductions.
Operator: Our next question is from Tom Callaghan from BMO Capital Markets.
Tom Callaghan: Maybe just start on the acquisition side of things. Like obviously, it's been a quite active year-to-date. Can you just talk a bit about the pipeline and where that sits today and perhaps the -- what could be in store on the back half of the year?
Jonathan M. Boulakia: Yes. So it has been a busy first half. We are still seeing great opportunities across the country and are at various stages of negotiation and process on a number of properties. So we do expect more activity for the tail end of the year.
Tom Callaghan: Got it. And I know it's not a completely fair question. Just kind of given the dynamics of the market. But is there a way you guys think about, let's call it, a perfect world and kind of pricing and quality of the assets line up in terms of what you think you should be able to do dollar-wise, on the acquisition front?
Jonathan M. Boulakia: Well, in terms of what we should do -- be able to do dollar wise, I'm not sure how to answer that. But the perfect acquisition -- the acquisitions we're looking for, if that's the question, are for new or newer larger properties that are in the markets that we already operate in, so that we can take advantage of synergies. So those are the perfect acquisitions for us. And we have had success over the last 1.5 years in acquiring these new properties below their replacement cost and in great locations that would have their own barriers to entry. So those, to us, seem pretty perfect for acquisitions.
Vlad Volodarski: Tom, when you think about acquisitions, there's another component of it, obviously, we also think very hard about integrating acquisitions into our portfolio successfully, and there is certainly a limit of how much we can do at any given point in time. Even though we've proven to ourselves first and foremost, that we can do a lot. At the same time, there is definitely a limit and we do not want to test that limit because what's important for us is to make sure that there is a very little disruption to the residents and employees of the properties when they come to us and that we can deliver to the underwriting that we put out there. And so in terms of the volume of the deals that we're doing at any given point in time, we also always think about that part.
Tom Callaghan: That makes sense. That's helpful. Maybe just going back to the development side and building on Jonathan's questions there earlier. Just with respect to the projects you announced with Batimo, you did take a 50% stake on the development side this go around. So can you just talk a bit about or give a little color on why you went with that type of structure, this go around?
Jonathan M. Boulakia: Well, these -- this 50% stake in these two projects, both of which are kind of adjacent or on the existing site that we already own. So it would make sense for us to participate in the development because in the case of one of the sites, it's actually going to be connected to our existing property. And the second site is adjacent to it. So a 50-50 partnership on this development, we felt creates the greatest alignment between us and our partner.
Operator: Our next question is from Giuliano Thornhill from National Bank Financial.
Giuliano Thornhill: I just want to start on the same-property pool. How do you describe the kind of occupancy there? Is it more of a normal distribution? Or does it have like a skew towards it?
Vlad Volodarski: It's very location-specific. So we still have about 20% of the properties in that pool that are below 85% occupancy. So there's still quite a bit of growth that we expect from those properties. And then the rest are sort of above 85%. Most of them are about 90% at the present time. In terms of the geographical -- I mean, you see in our MD&A, the breakdown between different provinces, obviously, Western Canada is at 96%. Quebec is getting up there. Ontario has the most potential.
Giuliano Thornhill: And then in the higher occupied areas, so Western Canada or maybe not in Quebec, have you noticed an increase in pricing power yet in those regions?
Vlad Volodarski: Again, it's very location specific. We are looking at the market rates. Karen just talked about the pricing meetings that happened at adult homes, and that's more of our strategy meetings that teams are undertaking. And for sure, where we see high occupancy, high demand and potentially our rates may be a bit lower than the competitors because of the occupancy increases that we were trying to achieve over the period of time, those are being corrected more than others.
Giuliano Thornhill: Okay. And just going to capital deployment, how are you guys selecting which developers do you want to partner with? What are you focusing on and yes?
Jonathan M. Boulakia: Well, in some cases, a local developer will have a great site and so that is attractive to us. In other cases, there will be larger real estate companies that have vision for seniors as part of a master plan community. It really depends on the site and on the potential partner. But of course, we are always looking for a developer that has experience and a track record of success in constructing quality assets.
Giuliano Thornhill: Yes. And so just like a similar partnership to Batimo, how many partners do you think you would want to support in that, like an agreement like that, I guess, was more of my question.
Jonathan M. Boulakia: We haven't set a target for the number of partners we would want, but we are looking to replicate that type of partnership in Ontario and in the West where our partner would build assets generally to our specifications, but not on our balance sheet. And we would have the right to acquire those assets on stabilization around construction completion. So these kind of arrangements are really beneficial to both parties. And we'd be looking to replicate that kind of Batimo relationship that we've seen great success building a dozen properties in Quebec.
Giuliano Thornhill: And then, I guess, just my last question is more on the disposition side. Is there any kind of update you could provide on Ballycliff the LTC property? And then in addition, what's kind of the margin profile of that noncore bucket that you described? And how would you select or choose which assets you want to dispose of?
Jonathan M. Boulakia: So on Ballycliff, construction is complete and we're working on moving in the residents from the older facility into the newer facility. And it would not be core to our business to retain this long-term care facility. So our plan is to market that property in the near term.
Vlad Volodarski: And the second part of your question about the noncore properties, those generally would be smaller properties potentially in the markets where we do not have large presence or secondary markets, sometimes older assets. And they would -- by virtue of the fact that they are smaller, they would run at a little lower margins than the core portfolio would be running.
Operator: [Operator Instructions] Our next question is from Pammi Bir from RBC Capital Markets.
Pammi Bir: Just coming back to one of the earlier questions. When you look at the repositioning assets and the growth properties combined, what's your sense of the NOI upside from stabilizing those assets? And then maybe the second part to that is over sort of how many years do you see that sort of playing out?
Vlad Volodarski: Well, I'm not sure what you mean by stabilize, we can stabilize occupancy. We expect occupancy to achieve 95% in the same property portfolio by the end of this year. The repositioning portfolio there's just a different composition of the properties in that portfolio. So it's probably going to take a little longer if we were to retain all these properties for the period of time, but not too much longer. In the environment that we operate now, I believe that almost every property can be running at 90%, 95% occupancy just because of the demand-supply dynamics. And so those properties will take a little longer. But then -- both of these portfolios, I think, have a potential for market rate growth as well that should be pretty strong over the next couple of years. For sure with the absence of new construction starts or new properties being put in the market to compete with them.
Pammi Bir: Okay. I guess I was really maybe more so looking at the growth portfolio because the occupancy there sitting at, I guess, 90%. And some of that, of course, is some of the recent acquisitions. So that's sort of the question more so on timing of getting those to that 95% level.
Vlad Volodarski: Yes. That -- we expect that portfolio to get to 95% level within probably the next 12 months. The reality is a lot of properties that are in this portfolio already at 95% or higher occupancy. We have a few homes that we bought, as you know, in British Columbia that were -- Karen spoke about, one of them that went from 29% to 40% occupancy. It's part of that portfolio. So it's really almost like bifurcated between many properties at 95-plus occupancy and a few that are still in lease-up.
Pammi Bir: Okay. And then just when you look at your rent growth, we've seen some disclosure from some of the U.S. peers. But when you look at, I guess, when you're trying to get pricing for push through higher rent growth, at what point or what occupancy level do you start to push a little harder? Is it at 90% to 95%, it's a certain percentage. And then once you're north of 95%, you can push even harder? Or is it just really market specific?
Vlad Volodarski: It is very market specific, and I wanted just to be very clear, we're talking about market rents here, not the increases to the existing residents. What we're doing with existing residents are inflation, inflation plus type increases depending on where our costs are what -- we're talking in terms of potential is the increases the market rates in the markets that are strong that do not face a lot of competition, where our occupancies are getting to that 90%, 95% level. In some cases, we have markets where there is competition, and we might be already at the top of the market. And whether if we run at 95% occupancy, we might not see as much market rate growth opportunity. So it is very circumstances specific.
Pammi Bir: Okay. That's helpful. Last one for me. Just on the transaction market, are you starting to see more capital being formed to target this space than, let's say, maybe 6 months or maybe even a year ago. And any signs of perhaps some downward pressure on cap rates?
Jonathan M. Boulakia: Yes, there are some signs of downward pressure on cap rates. We are -- the acquisitions that we completed or that we're competing on are generally competitive processes, and we are seeing renewed interest in our sector.
Operator: The next question is from Himanshu Gupta, Scotiabank.
Himanshu Gupta: I have a quick balance sheet questions here, just a couple of them. So on that, how much CMHC debt are you expecting to raise in the near term? And what rates are you seeing on that?
Jeffrey Samuel Brown: We have about $240 million currently planned, Himanshu, for the balance of the year, where we have other unencumbered properties we may look at as well to put into CMHC. And 10-year rates are close to 4.15%, 4.2% right now.
Himanshu Gupta: Okay. So you're looking for 10-year then. Okay. And then the second one was what's your target leverage here and as you roll out your acquisition program further, is there a range you're looking at to achieve?
Jeffrey Samuel Brown: Our target continues to be 7.5x. We think we should be able to achieve that by next year. So that may come up or down quarter-by- quarter, but we still do expect to delever down to 7.5x over the next 12 months or so.
Operator: Thank you. There are no further questions registered at this time. So Mr. Volodarski. I'll return the meeting back over to you.
Vlad Volodarski: Thank you, Luis, and thank you to everybody for joining us. As always, if you have any further questions, do not hesitate to give any one of us a call. Goodbye.
Operator: Thank you. Your conference has now ended. Please disconnect your lines at this time. We thank you for your participation.